James Fitter: Thanks very much, and good morning, everyone, in Australia. Good afternoon to those in the United States, and good evening to those here in Dublin, where I am calling from, joined with me by Darragh Lyons, our CFO; Niall O'Neill, our Chief Product Officer; and Toni Pettit, our Company Secretary. Firstly, as always, I just want to draw your attention to the legal disclaimer, and as usual, remind you that we are a calendar year-end. So we're presenting our full year results for the year ended December 2025, and then our reporting currency is in euros. We have released this deck for those of you who are on the phone rather than the webinar, we have released the deck to the ASX. That has not yet been published. So apologies to that. But hopefully, we'll be able to get through this with the deck as is. So the agenda today, we're going to talk about, obviously, the 2025 financial results, provide commercial and sales updates. Niall is going to talk through our product innovation. I'm going to address where we are on our AI journey. And then, of course, we'll provide an outlook and hopefully provide ample time for some Q&A. So just a reminder, Oneview Healthcare is a global leader in connected care experience solutions. We have been listed in Australia for 10 years, and we are enjoying commercial success on 4 continents. As part of that, we're proudly partnered with 3 of the top 25 hospitals in the United States, which remains our key focus of attention. Nearly 85% of our business today is in the United States. Just a reminder of how [indiscernible] value for our customers. We have 4 key pillars. Firstly, enhancing the patient experience, really empowering the patients to be more control of their own environment, providing them with a digital journey to get them home safer, faster, better informed. Secondly is to enhance the care team experience. And as those who know the company well will know that this has been a massive focus since the pandemic. Obviously, if we're putting technology in the room, we better make sure that it's driving operational efficiency. Thirdly, the technology is improving safety and outcomes through intelligent sensing, anticipating risk and monitoring adherence to protocols and providing a layer of transparency that typically isn't available without systems like ours. Fourthly, and most importantly, we're optimizing operational efficiency for hospitals and moving to more of a proactive delivery of care rather than a reactive delivery of care. So for 2025 and review, on Page 9, we have the financial snapshots. I'm not going to steal Darragh's thunder because he's going to talk to them in detail in a very few minutes. But I would just draw your attention to the new user interface, a really important part of the product we're delivering this year that Niall is going to refer to. In terms of business and innovation highlights for the year, I think perhaps the most significant for the company last year was Michael Dowling joining the Board of the company, which was effective from the 2nd of December last year. Michael, for the last 23 years, has been the CEO of the largest health system in New York. It's the largest private employer in New York with over 140,000 employees. And Michael brings with him unparalleled expertise in healthcare. He's going to bring us incredible insights into the way that enterprise healthcare is run and reimbursed in the United States. But perhaps most importantly, he brings a huge level of optimism, a growth mindset that I think is going to be incredibly exciting for us as a company as we embark on this next chapter of growth. And I think if I'm thinking about where we are today, I don't think we've ever had as much momentum in the business. And a big part of that has been generated by Michael joining the Board. So a huge welcome to Michael, and we're super excited to have him as part of the Oneview team going forward. We're delivering a next-generation experience, which Niall is going to talk to today around the new front-end user interface, and that obviously has some really exciting elements of AI embedded into design. And I'll let Niall talk at length around how that's going to drive greater value for us and our customers. So why don't I pass it across it to Darragh, who's going to talk through the numbers in some detail for you. Over to you, Darragh.
Darragh Lyons: Thanks, James. Good evening, and good morning, all. So we posted a 21% increase in revenues in 2025 compared to 2024, and that increase was driven by a EUR 1.6 million increase in non-recurring revenue and a 7% growth in our annual recurring revenue channel. That strong momentum that we have seen and adding 18 new logos over the past few years is the driver of that revenue growth that we were able to deliver in 2025. Our growth was negatively impacted by the weakening Australian dollar, and in particular, the U.S. dollar during 2025. Almost 80% of our revenues are now generated in the United States. So on a constant currency basis, our year-on-year growth was actually over 25%. With the larger proportion of non-recurring revenues in 2025 compared to 2024, our gross margin declined by 3 percentage points to 64% in 2025. Our margins within the recurring and non-recurring revenue channels are holding. So the decline in the overall gross margin is due to mix only. Our operating EBITDA loss for the year reduced by 8% to EUR 8.1 million, and the decrease is attributable to the higher revenue generation during 2025. Our cash OpEx remained consistent with 2024. But of significance is the decline that we're seeing in our cash OpEx during the second half of 2025 following the restructuring that we executed in May 2025 and also some other efficiencies that we're driving through the business, and we are doing that on an ongoing basis. So our H2 2025 cash OpEx was 9% lower than the first half of 2025 and was actually 13% lower than the same period, so H2 2024. And as we'll cover later in the presentation, we expect to drive further efficiencies in our OpEx during 2026. Turning to the balance sheet on the next slide. So our cash position at 31 December, 2025 was EUR 4.6 million, and the decline in our cash over the course of the year was broadly in line with the operating EBITDA loss that we had in the year. Our net working capital position is broadly consistent with the prior year balance sheet. Importantly, on our balance sheet, I would refer to the strong inventory balance of EUR 2.9 million that we have on the balance sheet. That's largely comprised of proprietary hardware. And that does give us a benefit in terms of insulating us against potential future pricing or tariff volatility and gives us strong cash generation potential from our planned deployment activity during 2026. Turning then to our live endpoints. So at the end of December 2025, we had 14,880 endpoints live. As we previously highlighted at our half year results, our net deployment growth in 2025 was impacted by the decommissioning of about 900 endpoints at an Australian customer due to budgetary constraints. But notably, our new endpoint additions are generating more than double the revenue per endpoint compared to the decommissioned endpoints. Also important to note on this slide is the 31% acceleration in deployment activity that we've enjoyed during the second half of the year compared to H1 2025. And that is attributable to the efforts that we're making in terms of making our deployments more efficient, and obviously, the momentum that we're seeing in terms of adding new customer logos over the past few years. So on the next slide then, as we look forward, we are continuing to see efficiency, and we've invested a lot of time and resources into gaining efficiency in terms of deployments. And we're now at a position where we can turn on endpoints at new customers within that 90-day window. That efficiency and the continued momentum we're seeing across our existing and new customer logos is giving us the potential to add 20% endpoints -- increase in endpoints by the end of 2026 to land at just under 18,000 endpoints at the end of '26. So that's the target for 2026. So I'll hand it back to you, James.
James Fitter: Thanks, Darragh. So let me just get into the commercial and sales updates. So as Darragh already mentioned, we've had a really fertile period over the last 3 years, adding 18 new logos, which is almost double the number that we landed since the IPO. So it's been a really fundamental change. And in the first couple of weeks of this year, we announced a very significant development that Baxter had us added to the group purchasing organization of one of the 10 largest health systems in the United States. Again, it will be impossible to overstate the significance of that. This is a really important development for us and for the Baxter partnership, and I think really speaks to the power of that partnership, which we'll talk a little bit later further in the presentation. But I wanted to help give you a sense of what these logos mean in terms of our commercial strategy because it's incredibly hard. Those of you who followed the company so patiently know that the sales cycle in this business is incredibly challenging. It's typically 18 months to 2 years. But once you're in, you have a unique opportunity to build partnerships and relationships with some of the most sophisticated health systems in the country, which is what we've done. And this concept of landing and expanding is very, very powerful. It's even more powerful for us because in the last 15 months, we've added 3 significant new products to our portfolio with the Digital Whiteboard and Digital Door Sign and MyStay Mobile. And those products, as we've specified before, give us the ability to basically grow our revenue with existing customers by nearly 100%. So on this Slide 18, you can see we've just highlighted some of our older legacy customers dating back to 2014. You can see in green the initial deployment we have at those customers. And then you can see the expansion that we've received since then. And in pretty much every case, the expansion has been multiples of the initial deployment. In the case of customer A, we will be fully deployed across their enterprise. At customer D, we've been fully deployed across their enterprise since 2014. Customer B is the exception. You'll note there, there's a lot of endpoint potential in gray. That endpoint potential is a function of the fact that, that customer made a very major acquisition in 2024 and we have not yet been able to convert that customer's acquisition, but we do know that they do not have a solution like ours, and we think there's a real opportunity to do that in the fullness of time. So as we think about the 18 logos that we've landed in the last 3 years, those 18 health systems together manage 11,631 licensed beds. You can see the vast majority of those beds that we've landed have been in the United States with just over 500 here in Ireland, which we're very excited to have our first European customer and a fairly small number of 183 customers at Adeney and Avive in Australia. And I just want to explain a little bit of the logic behind why these health systems are so focused on providing an equitable patient experience. Firstly, the obvious point being that if you visit one of these large health systems like NYU and you turn up at their flagship facility where they have the state-of-the-art Oneview experience, they don't want you going to one of their other fully-owned facilities and finding yourself back in the sort of 1980-style patient experience that a lot of health systems are still running. So the patient experience is important. They want to have a consistent baseline experience. That helps reduce variation that can often contribute to inequity. They want to provide consistent access to health information, to education, to care plans. They want to reduce disparities tied to literacy and language. Most importantly, perhaps they want to have data and real-time dashboards to surface any inequities in utilizations and response patterns. And if you don't have it across the entire system, it's obviously impossible to do that. And I think amongst some of our more Midwestern-style customers, there's a real desire to make sure that their flagship facilities in major cities are also delivering the same experience to rural low-income and more underserved communities. So there's a real desire to standardize across the enterprise, and we've seen that. I think it's a consistent theme amongst the customers that we have secured. So what's that mean in terms of addressable market? And I think there's been a little bit of confusion in the market when we made the decision last year with these new products to move away from focusing on beds to focusing on endpoints. So the endpoints are defined as any revenue-generating data point in the room. So that could be the TV, it could be the tablet, it could be the digital whiteboard or it could be the digital door sign. So in every room, we now have 4 revenue-generating opportunities, which creates amongst these 18 customers, 46,000 endpoints that we are able to target. And in recent contracts, we are averaging around 2.5 endpoints per room. So if we were to assign that across the 18 logos that we won on the 2.5 point average, we'd have an addressable market of nearly EUR 16 million in average recurring revenue. Now I would point out there's a slight disparity between licensed beds, which is the number of beds that's approved by the state licensing agencies with staffed beds. So staff beds are the number of beds that are physically available based on the staff on hand. So the licensed bed number might be slightly higher, but it would be relatively consistent. But I think it really speaks to the opportunity. And on Slide 21, we try to provide a visual of that, where you can see that where we finished the end of the year 2025 with these logos are in green, the forecast delivery for 2026 is in orange and the white space, which is the gray bars, shows the potential opportunity that we have to deliver new products and expand across these enterprises. And I think what this tells you is we're very early in our journey. And if you think back to some of the earlier examples I showed from 2014 and 2016, in the fullness of time, we'd expect to be filling in a huge amount of this white space. And I would point out that this graph does not include any beds from the Baxter general purchasing organization we announced back in January. And that health system would in itself be larger than these 18 new logos combined. So I think that gives you a bit of a sense of the opportunity that, that system is putting before us, and that's what's leading to so much momentum in the business. So as we think about the endpoints in the room, again, I just want to -- I think this is a Slide 22 is a really important reminder of the power of the Baxter partnership. So I think as most of you know, Baxter is through their Hillrom acquisition one of the largest suppliers of smart beds in the United States. They're one of the largest suppliers of nurse call. They're one of the largest suppliers of infusion pumps. There really aren't too many health systems in the country that they don't touch. So as we think about the smart room of the future, which is the vision that Niall has built for us over the past few years, we have a series of data points. They're all being orchestrated by a common ecosystem. So we are controlling the patient TV. We're controlling the tablet. We're controlling the door sign, the whiteboard, the voice assistant, which Niall is going to speak to momentarily. And then Baxter is providing the bed, the nurse call and the precision locating or the RTLS system within the room. The one piece that neither of us are delivering is the camera and computer vision, which has been the driver of the virtualization of care. And again, I think those who know the company well know that our strategy on that has been to create a virtual care API and to certify the leading vendors in this space. So Caregility was the first. We've now also licensed care.ai, Artisight and Teladoc through that API to be able to deliver their capabilities through the Oneview platform. So that's the -- I hope gives you a sense of the synergy between ourselves and Baxter. And the Baxter partnership is obviously starting to deliver. The news we announced in the 4C was obviously hugely significant. It brings a real confidence I think to the sales organization at Baxter that one of the 10 largest health systems in the country has embraced what we're doing. In terms of the partnership itself, we have over 156 qualified opportunities in the pipeline. We have delivered already some significant integrations into the Voalte Nurse Call. Niall is actually presenting at their national sales conference next week in Dallas. And we've got further active engagement going on, on the co-innovation pipeline. So I think we are really blessed to have this partnership. It's opening opportunities with these large integrated delivery systems, which for a smallish company like ours would be almost impossible to access on our own. So with that, I'm going to pass control of the deck to Niall, and he is going to share an update on the innovation road map. Over to you, Niall.
Niall O’Neill: Thanks, James. So AI is having a really significant impact on software development. And we've been thinking a lot about this in 2025. We've redesigned our software development life cycle. So this is the way in which we deliver and deploy our software to leverage AI. And really, that's around the goal of velocity with quality. We want to make sure that we're moving quickly, but with the quality that is so important to our customers. So we've continuously improved this delivery life cycle during 2025 and we continue to improve it now. We're now on our third iteration, leveraging Agentic AI as part of our software development life cycle. And we have set maturity targets for each of the phases of the SDLC. And our goal in 2026 is for us to be at least 4 out of 5 for maturity for our key phases of requirement definition of software build and software test, which are the really sort of intensive, resource-intensive parts of software delivery. And this relentless focus that we have is already bearing results. And I think the most tangible example is we will be previewing our new Ovie Console product. I'm going to talk a little bit more about that at the upcoming U.S. trade shows, so ViVE in a couple of weeks' time and then HIMSS in March. And this product will have gone from concept to pilot in 2026 with just one high agency engineer using AI to deliver the product. So not needing an entire team, but one person working with agency and using AI. Another data point, every quarter, we survey our engineering team. And the share of the team that report time savings of more than 15% daily grew from 58% to -- sorry, to 76% in 2 quarters, and we fully expect that trend to continue in the next quarter's survey. We're taking the approach and the learnings from this AI transformation of software development and we're now building a repeatable playbook that we're going to apply across the organization as part of our move to become an AI native company. So we move with velocity and quality, not just in software delivery, but in all aspects of our business. So I want to talk a little bit about our new user interface. Our focus in 2025 from a product delivery perspective was delivering our new user interface. So this is for our MyStay TV and MyStay tablet products that patients use in the hospital room. And this new design have 3 goals. The first was to provide a simple, intuitive and accessible experience for all types of users. And one example you can see on the right-hand side here is the ability to increase the tech size. It sounds like a very simple thing, complex to design for and was one of the most requested features from our customers. The second thing is providing a personalized interface with demographic-specific layouts. So this enables us to meet the needs of pediatric users. It enables us to -- or it makes it easier for patients to select the language if they're non-English speaking. And it also introduces concepts like AI suggested meals to help patients who have very restrictive diet orders and they find it hard to be able to order something digitally through Oneview because their diet order is so restrictive to be able to easily order meals. And every meal ordered through the Oneview system is effort avoided for our customers and for their staff. And the third goal is that it facilitates Ovie. So Ovie was originally conceived as a voice assistant. So those of you that would have been following us would have seen reference to Ovie or a voice assistant in 2025. We previewed this at trade shows last year. As we've shown this to customers and they've been able to use Ovie and test it and provide feedback, this has really evolved. This concept has evolved, and it's evolved into this concept of a digital care assistant that helps patients help themselves. But it's not just focused on the patients, it also ensures that the care team can focus on what matters. Interruptions are a huge problem for nursing as they try to provide care during the day, they're getting constantly interrupted and Ovie is all about trying to reduce those interruptions. Ovie runs on Oneview devices, tablet, television, a voice assistant and on clinician devices. So it's supporting patients, it's helping manage non-clinical needs and it's also giving staff real-time visibility. So just to kind of drill into that a little bit more in terms of the personas. So for patients and families, Ovie provides real autonomy. So they can request meals, they can request comfort items or non-clinical needs via voice. And this is all about reducing their reliance on the call light, so having to call their nurse for everything. They can also control their environment, so lights and lines, temperature, the system using simple voice commands. Beyond that, it also delivers timely prompts. So on their home screen, it will give them reminders whether that reminder is about ordering a meal, whether it's about watching education that they need to watch, whether it's about preparation for discharge. And it will also answer natural language questions instantly. So when is my procedure? What meals can I order? The types of questions that patients either just don't get answered or have to interrupt their nurse to get answers. For nurses, Ovie will reduce interruptions by routing those non-clinical request, things that the nurse doesn't actually have to fulfill for the patient, directly to the right team. Nurses are able to monitor the patient's experience in real-time. So they'll have visibility of who's using the Oneview system, who's not using it, who's ordered meals, who might have not completed their education or who might have requested services. They can also access care information hands-free in the room via Ovie Voice. So for our customers that don't have a dedicated whiteboard in the room, for example, the nurse will be able to come into the room and say, "Hey, Ovie, open the whiteboard" and that will allow them to access important care information all without having to touch the pillow speaker or the tablet. And when Ovie detects an issue requiring nurse follow-up, it will escalate appropriately. And by automating repetitive workflows and reducing these interruptions, this noise, Ovie really is all about protecting nursing focus so they can stay centered on clinical care. For operations and care support staff, those teams will be able to receive those non-clinical requests. So that would be something like a drink of water, a blanket, a request for a chaplain visit, non-clinical needs without the bottleneck of having to go through the call lights or without nurses having to mediate the fulfillment of those requests. They'll also be supported in driving activation and utilization. So many of our customers will have volunteer or care support roles that will go and visit patients and help them use the system. And every patient using Oneview is more value for our customers. And it will also provide visibility into the experience and into these operations, and that's all about helping operational leadership pinch points, demand surges, delays or issues so they can address those. Often, that is not visibility that exists in one system today. And finally, for leaders and for patient experience teams, we have the ability to move from a reactive rounding model where leaders or patient experience teams will just go and try and visit every single patient and ask them the same set of questions about their experience to a proactive guided rounding approach where you actually focus on the patients based on what's happening and based on patient needs. For example, where a patient has provided feedback through the Oneview system that is negative to focus on those patients and trying to address their issues. Leaders can also monitor operational and experiential performance, whether that's at the unit level or the hospital level, again, trying to spot those risks before they impact satisfaction. And I think this is a key shift for Oneview while we have provided care team-facing products in the Australian market that have filled the gap that hospitals without electronic health records have for these types of tools. These will be our first star-facing products in the U.S. market. And these are not competing with the electronic health record, they are complementing it. Where the electronic health record is focused on clinical care, we are focused on experience and operations, and this is going to help us drive greater value and support end-to-end as well as integrated workflows. So the Ovie ecosystem is made up of 4 products. Ovie Engage is that context-aware widget on the patient's home screen that you would have seen on the new user interface. It ensures that patients are aware of what they need to know or do all towards a safe and timely discharge, which is very important that patients leave hospital timely, but also prepared. It's built into our new user interface, as I mentioned. And this will be launching at the ViVE show later this month in L.A. It will also be live with customers in the coming months. Ovie Voice is the natural language voice assistant. It builds on the prototype that we launched in 2025. And we have now integrated Ovie Voice with MyStay TV and MyStay Tablet, enabling patients to engage with and control the system as well as ask those questions and make requests. Ovie Voice will go into pilot in 2026. And the new front-end was a key enabler for this, hence, our revised timing on this pilot. Ovie Console, as I mentioned, is a new star-facing product, providing that staff visibility into operations and experience. One of the #1 requests we've had from customers is they want real-time data. They want an understanding of the experience and understanding of operational needs and Ovie Console will provide that visibility and control. We really think about it as mission control for all of the non-clinical aspects of care. Ovie Console is in development at the moment. We will be showing a first iteration at ViVE, and we will be piloting it in the coming months. And finally, the last piece of the jigsaw is Ovie Rounds. This is a smart rounding tool, as I mentioned. Like all of the Ovie products, it will use context to ensure that staff focus on the right patients at the right time to recover service where needed. Ovie Rounds is still in prototype stage. We will be showing it at ViVE to get feedback. And our plan would be that we would deliver it in 2027, subject to customer validation. So just to bring all of this together, Ovie is an intelligence engine that connects our products and it connects hospital systems to enable self-service, to focus patients and staff on what's most important and to drive workflow automation. Ovie's superpower, and this is the hard bit, is all of the context that it has about the patient, the environment and the patient's care, as James alluded to. And it's the context that come from Oneview, it's context that comes from the electronic health record, from the building management systems, from real-time location systems and all of the systems that we integrate with today, all of that hard work we've done over the years has given us this ability to have this unique context. Patients can ask questions, request services or provide feedback. For example, if a patient asked a question that requires a virtual nurse, Ovie can create a follow-up action that is visible on Ovie Console and alert a virtual nurse in the command center that the patient needs help. That virtual nurse can then call straight into the room with seamless integration to virtual care. They can address the patient's question with that full context for the patient. They have the clinical record and the electronic health record and they have the insight into the patient's experience and operations in Ovie Console. Ovie is always available, always monitoring and always orchestrating to ensure that care is timely and efficient. And with that, I will hand it back to James.
James Fitter: Thanks very much, Niall. So I want to just talk about -- obviously, it goes without saying, the world is very confused about the impact that AI is going to have on software companies and I think on the industries in general. And I just want to remind everyone that this is a journey that we've been on. Niall has been doing a phenomenal job. We were the first ASX-listed company to be ISO 42001 certified, which means that our artificial intelligence management systems have been independently verified by the International Standards Organization. That's something we're incredibly proud of. We have taken a very serious focus around the governance and the privacy, because what we all know about healthcare is that trust and security are the 2 most important things. And without that, we really don't have a business to stand on. So I think as you just heard from Niall, we are leveraging AI across every aspect of our business. Today, we appointed Greg -- Dr. Greg Jackson as our AI Transformation Lead. Greg has worked with all of the operational leaders here at Oneview to identify ways that we can automate and ways that we can challenge the way we've been doing business historically. He's identified 54 different projects that we can -- that we have then scored and sized. And we have given him 3 tasks to commence with to start working across every aspect of the business, whether it be HR, finance, project management, software development, Niall has already spoken to. And I think for anyone who's involved in the technology industry, it's never been a more exciting time. For us, we see this as a massive enabler of our business, something that's accelerating our product development. Niall talked about velocity and quality. They're the 2 things that we're focused on. And there is no doubt we are going to be able to deliver a much better quality product at a much faster velocity for our customers, which is going to create more value, it's going to allow us to deliver the Ovie feature set, and it's going to allow us to fill in all of that white space amongst those 18 logos that we looked at earlier. The reason it's so difficult for someone to compete with us is just how hard it is to be successful in healthcare. So we've been on this journey, as you know, for over a decade. We have won some of the most discerning health systems in the country, and we've retained those relationships for over a decade. That is our moat. It's incredibly difficult for anyone to come in. The easiest part about our job is building the software. The hardest part is how do we comply with the operational workflows, with the integrations in the back end of the hospital, with the compliance and the complexity that goes with that. And we're also deploying physical infrastructure in patient rooms and supporting multiple operating systems. So this is a really incredibly complex business. As Nader Mherabi, the CIO at NYU Langone likes to say, listen, James, what's great about your product is it looks really simple on the front-end, but it's really complex on the back-end. And I think any good piece of software has that feature. So on Slide 33, I think we've just tried to visualize that and talk about what looks very simple on the surface is incredibly complex beneath the surface. And just managing the hardware remotely, the device management, making sure that the privacy and PHI of the patients is cleansed on admissions, discharges and transfers is a really significant undertaking. So as important as AI is and as exciting as it is for people building software, doing what we do is incredibly complex. And I would go so far as to say, a couple of guys in a garage are going to have a really hard time competing with what we do. So with that, let me talk about the outlook. As you heard earlier, great revenue growth for the year, up [ 21% ] following 5% growth last year, best growth we've had since the pandemic. That's not a coincidence. We're seeing a real turnaround in operating margins in the United States. I don't think it's a coincidence. If you look at the listed hospital operators in the U.S. at HCA and Tenet, they're both trading at all-time highs. I think most of our customers for the first time since the pandemic, returned to some semblance of profitability last year, which means that capital budgets are being more freely available, and that's obviously really manifesting itself in the 18 new logos we've added in the last 3 years. Really proud of the work that JP's team has done around our deployments. As you saw, we had a 31% acceleration in deployments in the second half of last year. And I think that's only just scratching the surface in terms of the potential. And obviously, we've been added to this general purchasing -- group purchasing organization of one of the 10 largest health systems in the country, and we are super excited about what that's going to bring in 2026. And then on the cost side of the business, as Darragh mentioned, we've sort of passed the peak of innovation. The work that Niall's and Declan's teams have been doing has been stellar. We've delivered and shipped 3 super impressive new products in the last 18 months. We're about to deliver the biggest change to the product suite in our history with the new front-end. And with that comes all of the embedded AI features that Niall has already spoken to. That Ovie ecosystem I think is going to be incredibly powerful. And then on the cost front, as Darragh already mentioned, we've seen a very significant decrease in our OpEx since 2025. And as you see in this chart on Page 35, we're forecasting another significant decrease in OpEx in 2026. So what does that mean as we think about the path to breakeven, which of course, is the promised land that everyone on the phone is aspiring to, as are we. Our OpEx very clearly peaked in the second half of 2024. We now have unparalleled access to the U.S. market through the Baxter partnership. And again, I can't overstate how powerful that is in terms of opening doors for us. As you saw earlier, we've got really material revenue growth opportunities within the existing portfolio from upselling our new products and expanding within those footprints. And in order to facilitate that, we've invested in a world-class account management team, which is run by Gabi Mitchell in the U.S. And Gabi has been adding some really important resource to that team this year because we also know that our best salespeople are our customers. So happy customers and the network effect is what drives the business. And then we've got AI enhancing the velocity and quality of our software, as I already mentioned, and shortening our deployment time lines. And we know that the Ovie ecosystem and the feedback we've already had is going to drive fresh value and that's going to give us pricing power, which we've already demonstrated this year that we have, but we think that's going to help us sustain that as we move forward. So just in closing, in terms of performance, revenues heading in the right direction, OpEx heading in the right direction, great commercial traction with the new logos we've added in the last few years and the upside of the Baxter pipeline. The new product suite that I think Niall has spoken to today, I think is incredibly exciting. It's certainly very exciting for our customers. And then the productivity gains that we're seeing across the business are pretty significant. And of course, it would be remiss of me not to mention the usual risk factors. We've obviously seen some regulatory uncertainty with the current U.S. regime, which could delay capital spending. We haven't seen any evidence of that, but it's always a risk. And obviously, the Baxter pipeline, the conversion of that pipeline is beyond our control. But certainly, we're very pleased with the progress to date and certainly very excited about the breaking news earlier this month. So with that, I will pause and pass it across to questions.
Operator: [Operator Instructions] Your first phone question comes from Dan Hurren from MST Marquee.
Dan Hurren: We're still -- the accounts have only just come through on the ASX. So look, I'll take all the detail of the accounts offline. But I just want to ask about endpoints and understand the transition to endpoints rather than beds. But you previously talked about new endpoints being significantly more valuable than those being acquired. Is there anything you can teach us about revenue per endpoint into the future?
James Fitter: Darragh, do you want to take that one?
Darragh Lyons: Yes, sure. So Dan, so we previously disclosed at the half year that our revenue per endpoint was about EUR 1.50 per day. So that -- and that revenue per endpoint is solid during the second half of the year as well. So it obviously -- that's a blend of the 4 different products that we now have. And it will depend on ultimately the mix of those products that we deploy over time. But obviously, with the core platform that we have, as we previously disclosed, there's a 92% upsell. So for every bed that we previously have won, there's a 92% upsell in terms of adding those additional endpoints. And obviously, we have a lot of legacy customers that these new products that we've developed over the past few years weren't available when we signed those customers initially, which was the slides that James referred to earlier. So that there is a significant white space in terms of expanding into those customers.
Dan Hurren: Look, I've got another question. I'm not sure what you'd be willing to say about this, but would you -- I did want to ask you about the appointment of Mr. Dowling. He's a very important person in the U.S. hospital community, and particularly within the Northwell Group. But as far as we know, Northwell is not an existing customer. So am I right to draw some conclusions there?
James Fitter: Look, Northwell is not an existing customer, but they have been in our sales pipeline for some time. And I should stress that, that won't be Michael's decision. That would be the people who run technology and patient experience there. Look, what I'd say, Dan, just to give you a sense of the scale of Northwell. I mean, Northwell did USD 18 billion in revenue in 2024, which I think is 50% more than Ramsay did. So I guess, the analogy I would give is, if an outgoing CEO of Ramsay was to suddenly turn up on the Board of Oneview Healthcare, that's kind of the magnitude of Michael's business that he's been running. But more importantly, he's just someone who has a deep passion for patient experience. He's obviously seen in us a technology platform that resonates with him as the CEO of one of the larger health systems in the country. But I don't think you can draw any conclusions and assume that just because he's joined the Board that we're going to win Northwell.
Dan Hurren: Okay. All right. Can I just push that a little bit further? Okay. Let's just -- I'm not sure taking any real conclusions from your comment there. But I mean, we've got a new potential logo with 16,000 beds. If I personally would assume that Northwell is 9,000 beds, which looks to me you've got a chain of 120,000 endpoints to which you have, to varying degrees, a warm welcome. So does this make your endpoint target for FY '26 look modest? Are you being modest there? Or is this more about the length of the sales cycle?
James Fitter: Well, Darragh is a very conservative man. Let me just say that.
Operator: [Operator Instructions] There are no further phone questions at this time. I'll now hand back to your speakers to address any of your webcast questions.
Toni Pettit: Thanks, Harmony. There's just one question here from Tom Ford from [ Myuna ] Investments. And he says, thanks for the presentation. What is the annualized run rate impact of the overhead cost reductions delivered in H2?
Darragh Lyons: Yes. Thanks, Toni. I'll take that one. So our run rate in H1 2025 was just under EUR 8.4 million. And obviously, then the second half OpEx has come in at just over EUR 7.63 million. So there's over EUR 700,000 saving in the second half of the year. So we will carry that through in terms of -- as we look forward to 2026. So that's a 1.4 -- over EUR 1.4 million saving on an annualized basis. So as the chart that James presented there in the outlook section on OpEx, we are continuing to drive further efficiencies in the business. So we'd expect that OpEx level that we had in the second half of '25 to hold during the first half of 2026, while we drive through some of these further efficiencies and then to really see the benefit -- further benefit of those efficiencies during the second half of the year and obviously then through into 2027.
Toni Pettit: There are no further questions, Harmony.
Operator: We do have a follow-up question on the phone from Dan Hurren from MST Marquee.
Dan Hurren: I didn't want to hog all the questions, but if there's space. Look, another question for Darragh. Thanks for the OpEx guidance. That's great. But can you just talk specifically around gross margin and the expectations for FY '26?
Darragh Lyons: Yes. Sure, Dan. So I think we saw a slight decline in gross margin in 2025. And that was, as I said, driven by the mix of non-recurring, which is the lower margin revenue in our business and the recurring revenue. So we'd expect that sort of gross margin to hold into 2026 as well around that level because we've obviously guided only a modest increase in terms of deployments in 2026. So yes, I would still assume that sort of mid-to-low 60s is where we're going to end up on gross margin.
Dan Hurren: And just one more. Look, I'm sort of -- I don't want to sort of understate the excitement around the product itself, but just sort of bring it back to numbers. But how will those AI tools affect operating costs in the long term? Does this just suggest there are savings to be had just on your cost page there?
Darragh Lyons: So Dan, do you mean in terms of Oneview or the hospital?
Dan Hurren: Sorry, talking about the Oneview implementation. Does this change the cost of implementation and so forth in the future?
James Fitter: No, no, because I think the beauty of the new product is that the configuration tooling work has been done in parallel with it. So it's actually going to be simpler and hopefully faster to deploy than a legacy product.
Operator: There are no further questions at this time. I'll now hand back to Mr. Fitter for closing remarks.
James Fitter: Thanks, Harmony. That's all from us. If anyone has any follow-up questions and would like to ask them privately, I think everyone knows where to find us. So thanks very much for your time.